Operator: Hello and welcome to Intevac’s Fourth Quarter and Fiscal Year 2022 Financial Results Conference Call. [Operator Instructions]. As a reminder, this conference is being recorded today, February 1, 2023. It’s now pleasure to turn the call over to Claire McAdams, Investor Relations for Intevac. Please go ahead, Claire.
Claire McAdams: Thank you, and good afternoon, everyone. Thank you for joining us today to discuss Intevac's financial results for the fourth quarter and full year 2022, which ended on December 31. In addition to discussing the company’s results, we will provide financial guidance for the first quarter of 2023 and our outlook looking forward. Joining me on today's call are Nigel Hunton, President and Chief Executive Officer; and Jim Moniz, Chief Financial Officer. Nigel will start with the review of our business and our outlook. Then Jim will review fourth quarter results and discuss our financial outlook before turning the call over to Q&A. I'd like to remind everyone that today's conference call contains certain forward-looking statements, including, but not limited to, statements regarding financial results for the company's most recently completed fiscal quarter and year, which remains subject to adjustment in connection with the preparation of our Form 10-K as well as comments regarding future events and projections about the future financial performance of Intevac. These forward-looking statements are based upon our current expectations and actual results could differ materially as a result of various risks and uncertainties relating to these comments and other risk factors discussed in documents filed by us with the Securities and Exchange Commission, including our annual report on Form 10-K and quarterly reports on Form 10-Q. The contents of this February 1 call include time-sensitive forward-looking statements that represent our projections as of today. We undertake no obligation to update the forward-looking statements made during this conference call. I will now turn the call over to Nigel.
Nigel Hunton: Thanks Claire, and good afternoon. I'm excited to share with all of you today, our latest earnings results and to highlight the momentum we built and the achievements we had in 2022. 2022 was quite a year for Intevac. We set out with a bold ambition of transforming the business and laid out a clear vision of the future of the company. I'm pleased to say we have taken huge strides towards our vision over the past 12 months, there's been a year of significant change for the company. Intevac now feels and operates very differently to that over a year ago, we have transformed Intevac into a new company. The new Intevac as we refer to internally and with customers. Intevac will continue this journey in 2023. The goal of this journey is to return strong shareholder value with sustained profitable growth. And we are already creating this momentum. I'm immensely proud of the entire team not only for the progress they have made in delivering on our ambitious aims, but how they have embraced the vast and rapid change I've tasked the company with through this past year. As I reflect upon, our commitments to our shareholders, started with my first earnings call one year ago. I'm pleased to share that our team has executed on every single one of the mandates that we laid out for 2022. We have refocused the business around a leaner product portfolio, streamlined our business and strengthened and diversified the leadership team and the wider business as a whole. We've laid out a clear plan to return to profitability, built on our existing strong position in the hard disk drive market and most excitedly of all have developed a critical strategic partnership that is supporting Intevac’s expansion into a new growth market. We also delivered on each quarter's commitments and our financial targets for 2022. Looking briefly back on 2022, I'm pleased to share the following highlights with all of you. Each of these achievements has been a significant contributor to the change of direction, pace, energy and momentum the company has gained recently and with a specific intent set out at the start of my tenure with Intevac. A primary goal for Intevac reestablishing momentum and focus last year was to first assess the growth potential in each of our end markets. Intevac needed to refocus its business around a leaner product portfolio. As vaccines for COVID continued the global rollout. And with the gradual reopening of travel, I took the opportunity to meet personally with each and every key customer in order to determine the correct direction and priorities for Intevac going forward. I'm pleased to share that I've traveled extensively each quarter of the year and met personally with all critical stakeholders that touch our business today, and have potential to impact it greatly in the future. These efforts not only resulted in strengthen relationships, but also led to the decision to cease development of multiple equipment initiatives, in order to focus our innovation efforts on our flagship 200 Lean and to enable the development and emergence of our game changing TRIO platform. This proved to be a decision that has not only shifted energy and momentum for the company, but has changed its future growth trajectory, and also the company's financial potential. It has also led to an early pattern toward TRIO platform, and a further nine patent applications have been submitted, key achievements as Intevac begins the process of strengthening and broadening its IP portfolio. Looking internally, we committed at the start of 2022, to streamlining the structure of the business, and doing so took action to align internal resource to genuine revenue growth prospects. 2022 source raise the bar for employee performance, and also source dramatically enhance the capability of the organization. We introduced an internal development program within the business and recruited high caliber talent. We have taken steps to significantly strengthen and diversify the senior leadership team and unify the organization under one cohesive leadership group comprised of the best talent from both the US and Asian teams. Further still today, we repeatedly measure and assess the strength of our organizational culture, having heightened emphasis on our company values of innovation and accountability. Our internal metrics and measurements are already showing strong evidence that our global team of employees feel invested in, energized and excited for the future and our customers and partners have also validates the strength the organizational culture, plays in our ability to deliver outstanding engineering. This past year, has not only seen Intevac in personal and professional development. We've invested in our physical space too. We know the importance of having an environment that encourages collaboration, something that in turn enables innovation. And the changes made to our building to the creation of a dedicated collaboration space has been a key enabler of greater cohesion throughout the business, and also led to the rapid development of our game changing TRIO platform. 2022 was momentous from an organizational perspective. Our products, people, culture and customers have been part of this positive change. And I've seen this all year. Today, our R&D, engineering and operational teams are developing into world class high performing teams. And we have begun the process of enhancing and developing our commercial team. I believe we are beginning 2023 with a strong team and are poised for continued execution in the year ahead. In relation to returning the company to profitability, we are firmly on track to return Intevac to profitability for the full year in 2024. And remain fully invested in preserving the strength of our balance sheet. I have personally met and engaged with dozens of investors, each of which have expressed their preference for a measured protection of our balance of cash and investments. Whilst also showing the reassurance and how we have executed on these preferences to date. In 2022, we maintain the strength of balance sheets, and are committed to do the same in 2023. Turning to our existing hard disk drive market and our flagship 200 Lean product, we believe firmly that we're increasing our share of worldwide media capacity. And that customer partnerships have resulted in is rapidly advancing business opportunities through HAMR upgrade initiatives, and the securing of $70 million in 200 Lean orders which will be delivered over the next four years. We continue to believe in the future of the hard drive business. And our efforts in 2022 have kept us in a prime position to continue to be at the forefront of the market and its development. Finally, in what is now highly regarded internally with Intevac as well as externally as a game changing development, 2022 source deliver on our commitment to develop a meaningful partnership relating to a new product craft category. Intevac’s development of the TRIO platform, A new product that supports consumer electronics and other applications has the potential to provide a runway of compelling and sustainable long term growth opportunities and revenue for Intevac far into the future. It is by far and away the most important development achieved by the company, since the launch of the 200 Lean product 20 years ago. The recently announced partnership on December 30 is a key milestone in our growth strategy. It broadens our product line and dramatically increases the total addressable markets we can now reach. As we sit today, we have a stronger, leaner, more diverse team, delivering world class products to the forefront of the markets we're operating in and pursuing. Our objective on this call today is to ensure that our investors, analysts, employees, suppliers, customers and all stakeholders recognize the achievements of the past year and our competence and commitment in our strategy to deliver strong growth and financial performance of the years to come. Now turning towards the TRIO. In late December, we completed our joint development agreement with a leading provider of glass and glass ceramic materials. The completion of this definitive agreement was a transformational event for Intevac. The agreement includes a minimum revenue requirement of approximately $100 million over five years, in order for our customer to maintain exclusive access to the TRIO platform for consumer electronics applications. The agreement also includes a minimal annual commitment to maintain exclusivity. We are currently completing the first TRIO system which will begin qualification later this quarter. We anticipate that once the first TRIO completes qualification, we will receive a purchase order for the qualified unit. At this time, we are planning to deliver at least two additional TRIO systems within 12 months of qualification. We will be building several additional tools this year in advance of 2024 shipments, so it'd be ready for some upside to support our key partner. I would like to point out at this time that going forward we will be limited to what we can communicate about our work with this customer. However, I can share with you a bit of what makes the TRIO such a compelling manufacturing platform for the coating of glass on consumer electronic devices, which is what excited this customer to engage with us and seek a level of exclusivity, which we granted. And it can also share why we see the potential for this partnership to be well in excess of $100 million over the next five years. The TRIO offers three primary advantages over current coating options. First, it offers tremendous flexibility compared to existing coating equipment, as the platform can accommodate almost limitless configurations of device form factors, including both 2D and 3D shapes. Second, building from our 20-year history of leadership in the hard disk drive market, our systems have a proven track record of depositing highly uniform and defect free films of the highest quality standards for durability and precision executed with very high yield over a long operating life. And lastly, also critical to our TRIO customer is its productivity, throughput and competitive cost of ownership in a compact footprint. So the compelling advantages of the TRIO platform are flexibility, cost competitiveness, and providing one platform for many different applications. Our plans for 2023 will be focused on qualifying the initial TRIO system for our customers thin film technologies by mid-year, delivering the initial systems and working with our customers to ramp in the field. As our customer gains confidence in the value of TRIO, we expect that many additional systems will be deployed potentially beyond the minimum contract or volume required to maintain exclusivity. The investments in inventory that we're making today, and which began in earnest during Q4. support the build of multiple TRIO systems. These include not only the systems we expect to deliver this year, but substantially more systems to ship in the following 12 months. In the short term, these investments will be enabled by our strong cash balance. It is worth noting that the strength of our balance sheet is critically important to each of our customers, not just for the TRIO partnership but also for our HDD business. And the investments we're making in 2023 will set us up for a profitable year in 2024 and consistent positive cash flows and returns on invested capital beginning next year. As I mentioned earlier, the $100 million revenue level is merely the minimum required to maintain exclusivity with our first customer, we will continue to pursue additional customers in TRIO and outside of consumer devices. Once successful with the first few tool deployments, we continue to expect our TRIO opportunity will be very significant. In summary, the development of this innovative and game changing platform will make a significant contribution to our growth plans. Which brings me to an update on our HDD business. Recent news indicates encouraging signs on the horizon, setting up a return to growth in datacenter investments and mass-capacity drive. In the meantime, as we discussed last quarter, we're seeing a greater level of customer investments in new technology during this period of reduced factory utilization. We're very proud to be a critical technology partner in the industry's transition to HAMR which is proceeding ahead of schedule, testament to our strong upgrade revenues in Q4 and another strong quarter expected ahead upgrades in Q1. A fundamental part of our strategy is to maintain a focus on innovation in collaboration with key partners. As such our roadmaps are aligned with them. Our HDD guidance for 2023 as well as the five-year revenue forecast remains consistent with what we communicated last quarter. We continue to see an extended investment cycle in both capacity and technology upgrades. That is providing visibility for at least $300 million of HDD revenues from 2022 to 2026. We expect this strong revenue growth the next few years will be driven by upgrades in support of the install base of over 150 systems that will require additional process modules to be HAMR capable, as well as a system backlog today of about $70 million. In summary, 2022 was a transformational year for Intevac. We are very excited about the year ahead and our new partnership TRIO platform. I will take this moment to emphasize just how committed we are as a company to increasing stockholder value, and protecting the strength of the balance sheet as we grow the business and transform into back into a consistently growing and profitable cash generating company with a leading position in each of its key markets. That completes my prepared remarks. And with that, I will now turn the call over to Jim.
Jim Moniz: Thank you, Nigel. First, I will briefly summarize our fourth quarter results. Revenues came in a bit stronger than forecast at $11.3 million, compared to our guidance of $10 million. As expected Q4 revenues were comprised of HDD upgrades, spares and service. The primary reason for the upside in Q4 was our customers prioritization and pooling of certain upgrade investments which resulted in a more favorable mix of revenue in the quarter. This resulted in Q4 gross margins of 44.3%, well above our guidance of 32% to 34%. The mix of lower margin business that was expected in Q4 is now spread across our full year 2023 forecast. So we expect to continue to maintain our quarterly gross margins of 40% or more for the forthcoming quarters. Q4 operating expenses were $8.3 million, slightly above our guidance of $8 million due to the prioritization of certain R&D spending for TRIO as well as an increase in variable compensation due to the exceptional work of the team and executing key milestones before yearend. The Q4 net loss was $3.2 million, or $0.13 per diluted share, and better than our guidance of $0.17 to $0.21 per diluted share, primarily as a result of the favorable revenue profile in the quarter. With total new orders of $133 million in 2022. We ended the year with 12-year record high backlog of $122 million. As we have communicated throughout 2022, the strong level of order activity for both systems and upgrades resulted in quarterly increases in backlog during every quarter of 2022 of the 11, 200 Lean HDD systems in backlog we expect to deliver one in Q4 and multiple Leans in each of the following three years. We ended the year with cash and investments including restricted cash of $113 million, equivalent to approximately $4.42 per share, based on 25.5 million shares at yearend. Our yearend cash balance was stronger than our forecast of $105 million to $110 million, primarily due to Q4’s TRIO inventory purchases, still residing in AP at the close of fiscal 2022. And we have since paid down that AP year-to-date. Cash flow used by operations was $11.3 million during the quarter and $7.4 million for the year. During Q4, we added $11.9 million in inventory to support the growing backlog and anticipated shipments of TRIO systems in 2023. Q4 capital expenditures were $493,000 and depreciation and amortization were $383,000 for the quarter. Now moving to Q1 2023 guidance, we are projecting revenues to be between $10.5 million and $11.5 million, consistent with our commentary last quarter, we do not expect system revenues until the second half of 2023. But the level of upgrades and field service for the first half of 2023 is a bit stronger than we indicated last quarter. We expect first quarter gross margin to be between 40% and 42%. Q1 operating expenses are expected to be between $9 million and $9.5 million, slightly higher than our expected run rate for the full year due to timing of investments in research and development, along with some typical seasonal increases. After Q1, we expect quarterly OpEx to be around the $9 million level for the remainder of 2023. We expect interest income of about $400,000 and GAAP tax expense of about $400,000 in the quarter. We are projecting a net loss in the range of $0.16 to $0.20 cents per share, based on 26 million shares outstanding. As we look ahead to the full year's financial results, I'll recap some highlights from Nigel's remarks. We continue to expect approximately $40 million in HDD revenue in 2023, which will be relatively evenly weighted between the first half and second half, with upgrades driving most of the first half revenue and one system expected to revenue in the second half. The TRIO activity in the first half will be to build the -- production system and work with our customer to pass qualification in Q2 on that system. After we pass qualification, we expect to receive the purchase order for the initial unit. We are currently planning to deliver at least two additional TRIO systems within 12 months of successful qualification. On our May call once we are well into the qualification process, we expect to be able to provide a range of how many systems could revenue in 2023. With this revenue profile, which is largely HDD driven, but should also include some level of TRIO systems revenue, we expect full year gross margins to be around 40%. And as I mentioned earlier, OpEx of approximately $36 million to $37 million. We expect both interest income and taxes to be in the range of $1 million to $2 million in 2023. Finally, we will continue to closely manage cash to support the business strategy. This completes the formal part of our presentation. Kevin, we're ready for questions.
Operator: [Operator Instructions] Our first question today is coming from Hendi Susanto from Gabelli Funds.
Hendi Susanto: Good afternoon, Nigel and James. Yes, so, Nigel, congratulation on the TRIO partnership. May I inquire like more colors on what kind of let’s say like profiles that we can expect, let's say for the TRIO system once the customer ramp up, should we expect a linear sales profile? Or it will resembles more like a step up profile from let’s say like one period to another?
Nigel Hunton: Yes, Hendi, thanks for the question. I mean, very clearly and hope it was coming across on the call, our focus absolutely has to be this month on completing the build of the first tool, we then move into the qualification of the tool. And we are optimistic and enthusiastic and excited about the process, we're going through on this qualification. And that's a qualification of the production tool, mean, the tool was qualified on the testbed and now moved to production tool. And really, that process is going to take the next couple of quarters and that's a critical thing for me is to maintain this organization's focus on delivering and executing on that plan. If I look out way beyond that, and the profile, I think it's too early to say, I mean, I think for me, the opportunity, as we've said, is pretty compelling. It's a very significant opportunity. It's a very different market we're entering, it's one that is the partner and us are going to maintain a level of confidentiality, which is why I said, we're going to have to be cautious what we actually share with people on these calls moving forward. Because the key for me is to maintain our strength, maintain that technology advantage, and then move forward. So really, for this call, it's very much about we're absolutely on track with that first unit, we're on track with our partners to get that qualify. I think once we get through that, we'll have a much better view on what the market potential opportunity is. And the great thing for me is the commitment from that partner for the $100 million over five years as a minimum for that period. But I think it's too early to say that that's a linear or anything else, I think the excitement for me is to get the first tool completed into the market, and actually start building success and securing some orders. So that's going to be my absolute focus. So it's really too early, we're so excited about and that the potential is huge. So I don't think it'll be linear, let's say that's probably anything to say.
Hendi Susanto: And then Nigel, with regard to the TRIO system, what is the latest estimate of the production rate? And that I would like, also to know, let's say, when there's estimate for production rate will be it's somewhat like semi fixed, meaning that that's the run rate. And then there is no, like, big window, let's say it's like from, like early into like a full ramp up, whether there's like a big range, like how many units they can produce? Yes, would you share some color on that?
Nigel Hunton: Yes, I mean, I think probably one of the really exciting things about the product is this new platform, which is very different to anything we've done before. So people are going to start thinking about segregating in their minds, the traditional business to this new platform, this platform has huge flexibility, not only can it do two-dimensional coating, but it can-do three-dimensional coating, which is a phenomenal step forward. But it also has the ability to actually do multiple size structures through the machine. So it's not like we're just putting through, if I go back to the HDD business, a machine that has billions of one size disk, day in, day out, and so on its platform concept. And the flexibility of the design is one of the key things that attracted us this technology to our partner. And so the machine can have multiple sizes running on it. It can be running on different programs. So you can't really say it's going to be a fixed number. So I think that level of flexibility is probably one of the unique capabilities of the technology. And is it going into a consumer electronics market, I mean, again, that market is huge, has different components within it. And therefore this flexibility of the tool is probably fundamentally one of the game changer and why we've been selected by the partner. I hope that answers your questions, but hopefully it gives you some flavor that this machine can do it. So this isn't about one machine it is about multiple machines supporting a very large industry that we're actually going to start entering.
Hendi Susanto: And, Nigel, with regard to the annual minimum commitment of that partnership. Like when is the timing of like the exclusivity like will it start when the annual minimum commitment like got -- was -- is met, or whether now you can explore potential sales with other customers while waiting for the annual minimum commitment to be met sometime later in 2023.
Nigel Hunton: The agreements, I think we're pretty clear when we announced it does not restrict us from looking at other market opportunities. So the exclusivity is that is within the consumer electronic devices, for glass and glass substrates. So that is very clearly documented and was in the announcement. So outside of that we can look for other opportunities from the starting point of the agreement. So the agreement that we announced was signed in December. That's the start date for the agreement. But for me, it's the real focus today is making sure we get the first production unit, executed on finished that first unit qualified, and then move forward with that strategic partner.
Hendi Susanto: Got it. And then questions for James. James, would you be able to share how much like cash consumption we can expect in 2023, especially considering that Intevac needs to build TRIO systems. And then I also notice that there is a long-term customer expenses of $22 million on the balance sheet. I'm wondering whether the cash on the balance sheet got boosted by that $22 million. And that's why the cash balance is higher than the prior estimates?
Jim Moniz: Sure, I can answer a couple of questions. First, let me answer your second question first. The cash, ending cash of $113 million, was not influenced necessarily by the $22 million that was known quarters ago. that is one of our customers who placed large orders that are in our backlog, customary for that customer to give us cash down payments or customer deposits, we use those customer deposits to secure inventory. So if you look at the inventory growth through the year, inventory went up by about $24 million from the beginning of the year to the end of the year. The majority of that was not TRIO, TRIO inventory started to build in earnest in the fourth quarter. So we were using the customers down payments, to support the backlog and to buy the inventory as the customer requested. But that number of the cash down payment, the $22 million had been reflected in our estimations of $105 million to $110 million and when we ended at $113 million, the slightly higher $113 million above our last call guidance was we did security inventory for TRIO that we expected but it came later in the quarter. So it's still the payment was not made did not draw down the cash. It was in accounts payable we since drawn that down. As far as the cash being used for the business, I think if you look over the last number of years, and especially in 2022, we've been excellent stewards of the cash, we'll continue to use the cash strategically. And as Nigel said in his prepared remarks, we're building inventory beyond whatever the minimum order quantity is for 2023. So you'll likely see inventory continue to go up as we go through the year, but we will still manage cash, you won't see cash go down, let's say to an $80 million or $90 million level right away. If you see cash go down, there'll be normally a corresponding increase with less building inventory to support customer requirements.
Operator: Next question from Mark Miller with Benchmark.
Mark Miller: Congratulations on your progress last year and looking forward to the future. After listening to [inaudible] Western Digital over the last week, they are indicating that the customer inventory for hard drives is starting to deplete. And as a result, they're more optimistic about the outlook, at least for hard drives for the remainder of the year. Have you sensed anything in terms of improvements and capacity utilization or a thing in terms of maybe more demand, kind of expected now that the customer inventories of hard drives come down?
Nigel Hunton: Yes, I think the first indicator, what we've seen is and really excitement is, as you say, listening to some of other calls, one in particular, and the emphasis and the level of Q&A around the HAMR. I think well, we've done in the last year we have enabled the HAMR technologies has come through that's been a key part of our last quarter's performance. And we're seeing that HAMR focus and the HAMR readiness and to ensure that actually the equipment is capable of supplying the equipment for their launch, to be maintained. And I think Jim said that would be maintained into Q1. So we're seeing continued focus around those technology upgrades. And again, like you, we are optimistic that demand is starting to come back. Some of those key markets in Asia will start to get additional business for them. And we're confident that the positive outlooks are going to sort of start to make through. But really, under fundamentally, is this technology shift to HAMR I think, is actually also going to be a significant change in that sector in our industry. And we're well positioned to maximize on that. Anything you want to add to that, Jim?
Jim Moniz: No, I think as Nigel mentioned, it's been, you can see some of that in the results in Q4. And some of our customers calls as you mentioned, Mark, they really are taking advantage of the lower capacity and trying to build that inventory to improve their technology. And we're a key component of them being able to do that. And they're helping, as you see in Q4, that's one of the main drivers why revenue was above guidance. And will continue, as I said in my prepared remarks that the first half of the year will actually be stronger than what we implied on the last earnings call as it relates to the linearity of shipments first half second half, and most of that will be upgrades.
Mark Miller: Okay, from what I gleaned from your -- you’re just comments about cash in 2023. There's going to be some drawdown as you build new tools. But you're talking about shipping, I believe one Lean tool later in the year, do you think by the fourth quarter you will be cash flow positive?
Jim Moniz: I think it all depends on what happens with the TRIO build. That's really going to be the driver of cashflow positive when you look at combination of what the linearity of the revenue is in Q4. But I think the biggest use of cash for us, which is just going to be a timing issue is going to be building to support a large backlog should that happen once we pass qualification on TRIO.
Mark Miller: Terms of the Lean tools you'll be shipping later late this year and beyond. These tools have more features such as more deposition chambers than prior tools, or any new technology in these tools.
Jim Moniz: I think that the one that'll ship has an additional process module. But I don't think there's much additional technology other than some of it has some HAMR enabled capability.
Nigel Hunton: I mean, the major focus is really we've talked on is enabling the install base, putting in the HAMR upgrades for those tools, and ensuring that our customers are ready and enabled to actually execute on their HAMR roadmaps. And that's a key thing we've done is making sure our roadmaps are absolutely aligned with our key customers. And that's been a key success over the last 12 months is having those regular technology, review meetings, and ensuring we're meeting their needs and actually helping enabling them to actually move to that next generation of technology. So it's been an exciting year.
Mark Miller: If all goes well, with the first qualification of the TRIO tool, you're talking about delivering two more TRIO after that. When could you think these tools be revenue in early 2024?
Jim Moniz: I think as is customary with our reg responsibility and rules, we'll need a couple of tools on the field to be installed to go through full qualification on site. And once they do that, and the customer signs off on the qualification, we'll take revenue, and then probably the third or fourth tool after that. We can take revenue as at the time of shipment, but we have to first pass the call. And we do expect revenue in 2023 as we've said, that first qualified tool that Nigel emphasizes, and I think everybody should remember is that's our focus right now. Our focus right now is building a production tool getting to qualification trying to get that qualification through Q2. Once we get qualification and sign off, that tool can take revenue, and then any tools we ship after that if they go into the field, they'll have to get installed, qualified signed off and then we can take revenue there and then it's after that point in time that we can probably take revenue at shipment but revenue at shipment is likely to happen in 2024. But we will see sign offs and we will see revenue in 2023 from TRIO.
Nigel Hunton: Absolutely, yes.
Operator: Next question today is coming from Srini Sundar from Partner Capital.
Unidentified Analyst : Hi, guys. Congratulation for that fantastic quarter. My first question is why was the accounts payable postponed?[Multiple Speakers]
Nigel Hunton: Accounts payable postponed.
Unidentified Analyst : Why were the accounts payables? Yes.
Jim Moniz: Yes. I'm not sure if your question is why is accounts payable higher at the end of the year?
Unidentified Analyst : Yes.
Jim Moniz: Is that your question?
Unidentified Analyst : Yes.
Jim Moniz: So if I understand your question, although it was hard to understand that question, the accounts payable was higher at the end of the year because of the timing, mostly of the delivery of the TRIO inventories. So it came in it was received, but their payment terms of when we have to pay our vendors, those payment terms required us to pay the vendors in January, not December, so it was sitting in accounts payable, you'll see accounts payable went up from the September quarter to the December quarter. And that helped the cash because essentially, it was in accounts payable, which has since been paid, and it was roughly around $5 million. But it coincided with the growth of the TRIO inventory in this quarter.
Unidentified Analyst : Thanks. As a follow up the new 200 systems that you will be shipping in the next two or three years, they will all be going out with HAMR updates, right?
Nigel Hunton: Those were ordered around this time last year. And some of that technology innovation will be included in them and there'll be some that's not, so that we further upgrade for those tools, sort of post install. So there'll be some level of HAMR readiness, but not the latest HAMR upgrades that we've actually developed and executed and delivered on in 2022.
Unidentified Analyst : Also on the subject of exclusivity, could you explain what it exactly means meaning that you cannot sell it to somebody else or you can sell it to somebody else.
Nigel Hunton: So, the exclusivity is very clearly for consumer electronic devices for glass and glass ceramic substrate. So it is a very clear definition of the market and the substrates.
Unidentified Analyst : Okay, understood.
Nigel Hunton: So in that, again, what I mean is that exclusivity means we cannot sell to anyone for those applications. So that's what the -- that's why the exclusivity, it is absolutely exclusive to them for that application.
Unidentified Analyst : And this is actually a show of my ignorance. But I want to know what is the market share of your TRIO partner in the cellphone market?
Nigel Hunton: You mean from our partner’s market share is not really for us to comment on, the market share of our partner is probably on their website but they are clearly the market leader in absolute number one, so they are market leader in that sector.
Jim Moniz: And I would say anybody that has paid attention over the last four or five months as to what we're doing. Yes.
Unidentified Analyst : Okay. There is a trend towards putting tempered glass on top of the display. Would that temper glass stick to your film?
Nigel Hunton: I mean, I think if you look at what we announced in the press release, the TRIO is for coating glass and glass ceramic substrates, and any glass and glass ceramic substrate is covered in that agreement. So it doesn't matter if it's tempered or not tempered, I think it will cover -- it covers any substrate. And that's why I mean is a game changing technology that really has the flexibility and everything about it is why our partner is so excited about it and why we're given the exclusivity.
Operator: Next question today is a follow up from Hendi Susanto from Gabelli Funds.
Nigel Hunton: We can't hear your Hendi? No, that's just me. Operator, can you hear Hendi?
Hendi Susanto: Yes, hi, again, Nigel and James. I think 2024 is still far away. But with regard to the first full year of profitable results. Do you have insight into what revenue level? And what kind of revenue mix is the underlying assumptions among let’s say like hard disk drive market Lean 200, HAMR and TRIO?
Jim Moniz: Yes, I would say at this time, we're not prepared to talk about what the revenue mix could be how much between the two, but what we look at internally is if you look at the investments, we'll make an R&D this year. And as we said in our prepared remarks our OpEx being somewhere between $36 million and $37 million. If you just did simple math and assumed a 40% gross margin, you need to be somewhere around $90 million in revenue to breakeven.
Hendi Susanto: So that is very encouraging, James. And the second question is I saw on your website ballistic coating, is that the commercial name for TRIO let’s say end products. And then outside of consumer electronic devices, do you see any like low hanging fruit applications?
Nigel Hunton: Yes, just to cover that first. I mean, as you said, as you know, when I joined a year ago, we had the Intevac ballistic coating and the IBC as a potential route forward and a potential technology. And some of that has been developed into this TRIO tool. So the website, as it says is under development. And we will actually address that in 2023. My focus in 2022 has not been about trying to put nice things onto a website, it's been absolutely about creating a new technology platform, getting this business fundamentals correct. But you're right this year is the time to get the website upgraded, put some additional material on there and actually bring TRIO to life on the website. So that will be one of my actions for this year. But last year was very much about getting the technology launched, focused and making this company success. But you're right, the website still does say under development for IBC. And we will change that to TRIO on current platform and the future growth.
Hendi Susanto: I see. And, Nigel, my second questions about like potential target application outside of consumer electronic devices for TRIO.
Nigel Hunton: Yes, I mean at the moment, as we've said very much the focus is getting this tool built, qualified and out there and making that success. Beyond that I see other opportunities. I think we talked in one of the announcements about this potential around the automotive and other sectors. There are market opportunities, I mean but for me at the moment is let's get this thing built, qualified into the market and keep updating use of it every single quarter by saying this is what we've done. This is what we're going to do next quarter and keep building that story and building that success. So I think I've got enough to do to focus on that one exciting market opportunity of electronic devices first.
Hendi Susanto: Thank you, Nigel, and then all the best for winning TRIO -- into production environment.
Operator: Next question is coming from Dan Weston from WestCap Management.
Dan Weston: Yes, hi, good afternoon, guys. Thanks for taking the questions, and congratulations on all the progress. Most of the questions have been answered just a few more, if you don't mind. In terms of the TRIO, could you share with us what you think your internal capacity is for build and ship per year for that product?
Nigel Hunton: I mean, that's highly confidential. As you can imagine, what we're really doing now is building the plan around it, we're executing on the first builds, we're going to get the full qualification done. And then we're going to ensure we have capacity to meet whatever demand is out there. So it's, I mean, the market size and what we're going to do, and how we're going to deliver against that is clearly within internal plans. And we are planning and scaling and building for success. You don't enter something like this without saying we're going to be successful. We know what we need to do, we have capacity to do it, we have to be able to actually manage our way through the industry with some still supply chain challenges. We've got the strength of the balance sheet to actually help us leverage with some inventory. So we can be ready to ramp and build whatever the market needs. But I don't want to put numbers in there for people at the moment. But we've got, we know we have to do. And as we've said, we actually plan things out, we think it through and then we execute. So we are, looking forward to it.
Dan Weston: Okay. No, I think get your point.
Nigel Hunton: Yes, we just got to first run to build.
Dan Weston: [Inaudible]
Nigel Hunton: No, it’s first one. It's great. But it's, we are going to move forward, we're going to be successful. And it's about getting this first one qualified, and then moving forward successfully with our partner.
Dan Weston: Totally understood. Thank you for that, Nigel. And let me ask it this way, just given the minimum commitments on this particular customer for TRIO, assumes I'm guessing using a roundabout figure of about four units per year to build and ship and revenue. Let's say the customer exceeded these minimum commitments. And he required eight or 10 units to be built and shipped to him in a particular year. Are you saying that you could successfully build and ship 10 units per year?
Nigel Hunton: Yes, I'm not committed to any number, but I'm saying we are planning for success. And whatever our customer needs, we will deliver. So if you can read into that what we're doing, yes.
Dan Weston: Fair enough, okay, fine. Let me ask you a question in terms of the evaluations that Corning was doing initially on the TRIO platform? Did, did they have any of their end customers involved in that evaluation as well?
Nigel Hunton: I mean, clearly, I can't answer that question. But I can say to you is the, and we've covered on the last couple of calls. When you launch a new product, you align it with a key partner, you have them to be successful launching products. So my 30 years of experience in many different companies, is when you have a customer who is working with you. It's feeding and working with your development teams. And you're producing products. And we talked on a call a couple of quarters ago, we gave them some samples they came in, they ran their own samples. We've done coupons for multiple different potential applications, and so on. We've had other people come in and run and qualification success. And the real performance of the TRIO and its flexibility and adaptability has been superb. And on the back of that they've -- that's why they wanted exclusivity. So if you are able to read into that, what we've been doing.
Dan Weston: So that's all I have for you. Thank you, Nigel, for answering questions. I appreciate that.
Operator: We reached the end of our question-and-answer session. I'd like to turn the floor back over to management for any further or closing comments.
Nigel Hunton: Thank you. As I look at where we are today, compared to my first earnings call one year ago, I feel we've executed on a complete transformation of the company. We've created a new Intevac, an outstanding achievement. We are now squarely on a path towards consistent annual revenue growth and the 2024 outlook supporting significant revenue growth, positive cash flow from operations and a profitable year for the company. Overall, I'm extremely enthusiastic about the future of Intevac. And I will continue to leverage our collective expertise and strong balance sheets to ensure the company is positioned for growth well into the future. And finally, I want to thank all of our employees as well as their counterparts with our industry partners, for their hard work and dedication, as we progress with our partnership with the new TRIO platform, as well as the HDD industry transition to HAMR. And that's been for me, it's been a fantastic achievement all round. We've also been steadily ramping up our investor outreach over the last year. And we're eager to continue meeting with as many institutional investors as possible. So if anyone wants to reach out to Claire, please do that directly. And we'll organize follow ups with us. And with that, I will conclude today's call. So thank you.
Operator: Thank you. That does conclude today's teleconference and webcast. You may disconnect your line at this time. And have a wonderful day. We thank you for your participation today.